Operator: Good day, ladies and gentlemen, and welcome to the NETGEAR Fourth Quarter and Full-Year 2018 Earnings Conference Call. Currently at this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. At this time, I would like to turn the call over to your host Chris Genualdi. Please go ahead, sir.
Christopher Genualdi: Thank you, operator. Good afternoon and welcome to NETGEAR's fourth quarter and full-year 2018 financial results conference call. Joining us from the Company are Mr. Patrick Lo, Chairman and CEO; and Mr. Bryan Murray, CFO. The format of the call will start with a review of the financials for the fourth quarter and full-year provided by Bryan, followed by details and commentary on the business provided by Patrick and finish with first quarter of 2019 guidance provided by Bryan. We will then have time for any questions. If you have not received a copy of today's release, please visit NETGEAR's Investor Relations website at www.netgear.com. Before we begin the formal remarks, we advise you that today's conference call contains forward-looking statements. Forward-looking statements include statements regarding expected revenue, operating margins, tax rates, expenses and future business outlook. Actual results or trends could differ materially from those contemplated by these forward-looking statements. For more information, please refer to the risk factors discussed in NETGEAR's periodic filings with the SEC, including the most recent Form 10-Q. Any forward-looking statements that we make on this call are based on assumptions as of today, and NETGEAR undertakes no obligation to update these statements as a result of new information or future events. In addition, several non-GAAP financial measures will be mentioned on this call. A reconciliation of the non-GAAP to GAAP measures can be found in today's press release on our Investor Relations website. At this time, I would now like to turn the call over to Mr. Bryan Murray.
Bryan Murray: Thank you, Christopher, and thank you, everyone, for joining today's call. On December 31, we completed the spin-off of the Arlo business through a distribution of Arlo Technologies common stock to NETGEAR shareholders. Upon the completion of the distribution, NETGEAR no longer owns any shares of Arlo common stock. Arlo's financial results for all historical periods, including the fourth quarter of 2018 during which the distribution occurred will now be reclassified into NETGEAR discontinued operations. The results discussed on this call will be focused on NETGEAR continuing operations only and will not include historical results for discontinued operations. We'd like to acknowledge all of the hard work from both the NETGEAR and Arlo teams that went into completing the spin. Now, turning to our results for the fourth quarter and full-year 2018. For the full-year of 2018, NETGEAR net revenues were $1.06 billion, which is up 1.9% compared to full-year 2017's net revenue. Full-year non-GAAP operating income was $76.3 million, resulting in a non-GAAP operating margin of 7.2% for the full-year. The reconciliation from GAAP to non-GAAP is detailed in our earnings release distributed earlier today. Non-GAAP diluted earnings per share for the full-year of 2018 was $1.94. Turning to the fourth quarter 2018, we are pleased with our results, which came in at the high end of our guidance range for both top and bottom line. Performance was driven by Orbi, Nighthawk Pro Gaming, cable modems and gateways, and our SMB switching portfolio, in particular the PoE and ProAV switches. It was a successful Q4 across our business. NETGEAR net revenue for the fourth quarter ended December 31, 2018 was $288.9 million, which is up 5.4% on a year-over-year and up 7.2% on a sequential basis. This is despite a decline in service provider revenue of $6.2 million as compared to the prior year comparable quarter. For the non-service provider channel net revenue grew 9.1% year-over-year. NETGEAR net revenue by geography once again reflects our continued strength in North America. Net revenue for the Americas was $190.3 million, which is up 7.6% year-over-year basis and up 8.2% on a sequential basis. EMEA net revenue was $58.8 million, which is down slightly year-over-year due to service provider revenue declines and up 10.6% quarter-over-quarter. Our APAC net revenue was $39.8 million for the fourth quarter of 2018, which is up 4.6% from the prior year comparable quarter and down 1.3% quarter-over-quarter. For the fourth quarter of 2018, we shipped total of approximately 4.2 million units, including 2.8 million nodes of wireless products. Shipments of all wired and wireless routers and gateways combined were about 1.7 million units for the fourth quarter of 2018. The net revenue split between home and business products was about 75% and 25% respectively. The net revenue split between wireless and wire products was about 70% and 30% respectively. Products introduced in the last 15 months constituted about 30% of our fourth quarter shipment, where products introduced in the last 12 months contributed to about 25% of our fourth quarter shipments. Our non-GAAP gross margin in the first quarter of 2018 was 31.7%, up 370 basis points year-over-year compared to 28% in Q4 2017, and down sequentially from 35.3% in the third quarter of 2018, due to the usual seasonality of elevated promotions during the holiday season. Total non-GAAP operating expenses came in at $64.5 million, which is flat year-over-year and down 3.6% sequentially. Total headcount was 837 for the fourth quarter. Our non-GAAP R&D expense for the fourth quarter was 6.2% of net revenue as compared to 6.8% of net revenue in the prior year comparable period and 7.1% in the third quarter of 2018. R&D remains vital to our business, and therefore, we expect this expense to grow as needed in absolute dollars. Non-GAAP operating margin for the fourth quarter was 9.4%, which is up compared to 4.6% in the prior year comparable quarter and down sequentially from 10.5% in the third quarter of 2018. Our non-GAAP tax rate was 20.6% in the fourth quarter of 2018. Looking at the bottom line for Q4, we've reported non-GAAP net income of $22.3 million and non-GAAP diluted EPS of $0.68 per share. Turning to the balance sheet. We ended the fourth quarter of 2018 with $274.4 million in cash. During the quarter, we used $56.1 million in cash flow in continuing operations, which brings our total cash used in continuing operations over the trailing 12 months to $13.4 million. Additionally, we used $3.3 million in purchase of property and equipment during the quarter, which brings our total cash used for capital expenditures over the trailing 12 months to $12.3 million. We remain confident in our ability to generate meaningful levels of cash; however, we expect a further outflow of cash from operations in the first half of 2019, which will correct itself in the second half. We are consciously taking on select amount of inventory to allow for a smooth transition to manufacturing locations outside of China as a part of our response to the imposed tariffs. In Q4, we spent $15 million to repurchase approximately 268,000 shares of NETGEAR common stock at an average price of $56.07 per share, which equates to approximately $33.37 on a post spin basis. Since the start of our repurchase activity in Q4 2013, we've repurchased approximately 12.3 million shares. Our fully diluted share count is approximately 32.8 million shares as at the end of the fourth quarter. There are 1.5 million shares remaining under our approved buyback program, and we plan to opportunistically repurchase our stock in the quarters to come. Now turning to the results of our segments. The Connected Home segment, which includes the industry leading Nighthawk, Orbi, Nighthawk Pro Gaming, and Meural brands generated net revenue of $215.6 million during the quarter, which is up 5.9% on a year-over-year basis and up 10.8% sequentially. Excluding sales to service providers, net revenue was up 11.4% year-over-year and up 8.5% sequentially. Our Orbi mesh, Nighthawk Pro Gaming routers and our line up cable modems and gateways were strong performers during the quarter. As a result, we are pleased to see that we continue to hold over 50% market share in U.S. retail WiFi products, which covers mesh, routers, gateways and extenders. The SMB segment generated net revenue of $73.3 million for the fourth quarter of 2018, which is up 3.8% on a year-over-year basis and down 1.9% sequentially. Our switching portfolio continues to cover our results for SMB, especially the PoE and ProAV switches. I'll now turn the call over to Patrick for his commentary, after which I will provide guidance for the first quarter of 2019.
Patrick Lo: Thank you, Bryan, and hello, everyone. We are extremely pleased with our results for the fourth quarter of 2018, which were driven by new product categories that we introduced in the last year, such as the 20 series of Orbi mesh, the Nighthawk Pro Gaming routers and the PoE+ and ProAV switches. Our cable modems and gateways continue to be strong performers as well. Our financial results for the quarter came in at the high end of our guidance range for revenue and operating margin. We delivered a healthy profit in Q4 and saw year-over-year topline growth of both CHP and SMB segments. We remain excited about the positioning and progress of our business to build significant recurring revenue streams by tapping into our massive global installed base of approximately 25 million customers. As outlined in our Analyst Day in September of last year, we have targets of reaching 1 million paid subscribers and 15% operating margins as quickly as possible. Last September, we reported that we had 8.7 million registered users, meaning that roughly one-third of our 25 million installed bases had already registered with a unique user ID and customer details with us. We are very pleased to report that we reached 9.7 million, registered users as of the fourth quarter. Adding registered users is crucial for us because it provides the foundation for our relationship with our customers. Furthermore, last September, we also shared that we had 650,000 active registered app users at that time. These are customers that have purchased one of our products and downloaded a companion app for device management and additional functionality. Adding registered app users is especially important to us, because our apps allow us to directly engage with our customers on a regular basis. Through our apps, we're able to offer a suite of value-added services that specifically fit our customers' needs. We're thrilled to report that our number of registered app-users more than doubled since September of last year, reaching $1.4 million as of the end of the fourth quarter. Turning to product front, we had two product launches during the fourth quarter that marked significant technology inflection points in wireless. We launched our first industry-leading WiFi fixed routers and debuted the world's first millimeter wave 5G mobile routers with AT&T. As we have discussed previously, Wi-Fi 6 also known as 802.11ax is the newest WiFi standard that's optimized for accommodating many devices in the home, reducing network congestion and mitigating neighborhood interference. The first of many Wi-Fi 6 products, the NETGEAR Nighthawk AX8 Wi-Fi Router was launched in October last year. The Nighthawk AX8 is engineered to deliver up to 4x more data capacity than prior generation 802.11ac WiFi Routers. Furthermore, at CES in January, we also announced the first Orbi mesh WiFi system with Wi-Fi 6 capable of delivering gigabit speed in the home. It combines 802.11ax with our patented FastLane3 technology to provide the best WiFi Mesh performance available to consumers. We expect that this product will be available in the second half of 2019. All of the Wi-Fi 6 products that we announced, the AX8, the AX12 routers and the Wi-Fi 6 Orbi are at higher ASPs than the A22.11 7AC counterparts. During the cause of 2019, we are confident that we will lead again in introducing various new products, based on the Wi-Fi 6 standards. At higher ASPs relative to the 11AC line of products. During the fourth quarter we also announced the release of the world's first millimeter wave 5G mobile, the Nighthawk 5G Mobile Hotspot with AT&T. It's the first standard-based mobile 5G network device in the world and is available on AT&T’s mobile, 5G plus network for early adopters. We're very excited to be part of AT’s and T’s commitment to be the first to introduce mobile 5G services in the U.S. You can expect more 5G related products from us in 2019. Both for the service provider and retail channels, another big announcement that we shared at CES 2019 was the release of the third generation Meural Canvas which is the first Meural Canvas to be develop to the NETGEAR. Meural is the world leading smart digital canvas, which became a part of NETGEAR through our August 2018 acquisition of the business. The Meural Canvas is differentiated by Meural's patented true op technology, a combination of hardware, software and firmware that combined to deliver a realistic art viewing experience, including a signature of Matt and declare display. Controllable by a gesture voice, desktop or mobile app. The Meural Canvas empowers users to interact with art everyday. Meural’s hardware and cloud platform provides access to over 30,000 curated images from museums, artists, and content partners around the world for an approximate $50 annual subscription fee. Our new third-generation Meural comes in two different sizes and price, featuring modular frames in various styles and has improved WiFi, with greater products stability and higher performers. Last month, we announced an exciting new Meural content partnership with National Geographic. Now you can enjoy a wide variety of stunning photography from the National Geographic collection at home with the Meural Canvas. Looking ahead, you can expect many more exciting Meural content partnership from us in 2019. On the SMB side, we expanded our product lineup with a new lineup of PoE+ switches, advanced wireless access points for our insight cloud management solution and a Ceiling-Mount Satellite for our Orbi Pro Mesh WiFi family. Our new Orbi Pro ceiling satellite was a hit at CES, capturing a CES innovation honorary award at the show. It's the perfect discrete solution for deployments because it can be powered directly by POE if it is connected via Ethernet or powered by AC outlet if operating in a wireless mesh satellite mode without an Ethernet connection. Orbi Pro is especially useful for large open areas, such as warehouses with medium and low device density. During Q4, we also saw the expansion of our ProAV switches into new applications such as powering, video walls and displays in shopping malls and the casinos around the world. The introduction of PoE+ capability in our unmanaged switching line has been a big success and contributed to our switching revenue growth in Q4 as well. As we have shared in the past, the future for NETGEAR will be focused on continuing to provide to our installed base the innovation in the Internet connectivity that they need while creating the right value-added services that are most desired by them. By staying at the forefront of innovation in connectivity hardware, supplemented by differentiated software, we will continue to command the premium end of the market, which will be key to the successful roll out of paid value-added services to our installed base. Looking at the strong pipeline of new technologies and products to be introduced in fiscal 2019, we continue to be confident in mid-single-digit growth on the topline and double-digit growth in non-GAAP operating profit for the year. We continue to believe that without seasonally strong second half, we can exit the fourth quarter with operating margins in the 11% to 12% range. I will now turn the call back to Bryan for first quarter guidance.
Bryan Murray: Thank you. As Patrick just mentioned, our businesses is very seasonal. And as service provider becomes a smaller portion of overall revenue, our seasonality becomes more pronounced as we indicated on our Analyst Day last September. Non-service provider portion of our CHP business in the first quarter is usually approximately 17% below Q4. Looking at the back half of the year, we have typically seen a lift of between 22% to 25% for the second half of the year over the first half, which factors in our recently completed second half of 2018. For the first quarter of 2019, we anticipate revenue will be in the range of approximately $235 million to $250 million. This reflects normal post-holiday seasonality with the added effect of too fewer selling days from Q4 to Q1 relative to the prior year. First quarter GAAP operating margin is expected to be in the range of 4.5% to 5.5%, while non-GAAP operating margin is expected to be in the range of 8% to 9%. Our GAAP tax rate is expected to be approximately 27% and the non-GAAP tax rate is expected to be approximately 24.5% in the first quarter 2019. Operator, that concludes our comments, and we can now take questions.
Operator: Thank you, sir. [Operator Instructions] Our first question comes from Adam Tindle from Raymond James. Please go ahead.
Madison Suhr: Good afternoon. This is Madison on for Adam. Thanks for taking my question. So at the Analyst Day, you had talked about exiting Q4 at an 11% to 12% operating margin. And it looks like you have a bit of a climb to get there based on Q1 guidance. So are you guys still targeting the 11% to 12% in Q4? And what are the key factors to getting some additional leverage throughout the year?
Bryan Murray: Yes, I think as Patrick mentioned we are still confident and be able to deliver the 11% to 12% exit rate for Q4. I think that's partly driven by the seasonal lift that we see. As I mentioned, we typically see about a 22% to 25% growth in the second half as compared to the first half, and we are hopeful that we will start to see some benefit from attach on services in the fourth quarter. So we do remain confident that we will hit that 11% to 12% exit rate.
Madison Suhr: Okay. Thanks. And then similar question on cash flow. You had some commentary around there. And at the Analyst Day, you talked about that normalizing around $70 million to $90 million. So is that the right number to, kind of, think about as we think about fiscal year 2019? And then, could you also remind us on capital allocation priorities, and if we should expect buybacks to accelerate now that the spin is complete? Thanks.
Bryan Murray: Yes, I think in terms of 2019, cash flow generation, we typically look to, to be in the 85% to a 100% of non-GAAP net income and I think that will be the case for 2019. I did point out that the first half of 2019 will probably be a usage of cash in the neighborhood of $25 million. You would have seen that we did increase inventories into the year in response to the tariffs as many were anticipating an increase to 25% effective January 1, which obviously got delayed. But we think that will normalize in the back half. From a capital allocation standpoint, we expect to continue to be opportunistic buyers of our stock. We need roughly $150 million to operate the business and anything beyond that we evaluate for strategic initiatives.
Madison Suhr: Okay. That’s helpful. Thank you.
Operator: Thank you. Our next question comes from Woo Jin Ho from Bloomberg. Please go ahead.
Woo Jin Ho: Great. Thank you for taking my questions. Patrick, you’ve been nicely broadening up the Orbi portfolio as well as the Nighthawk portfolio. Can you just talk a little bit about the SKUs – the Orbi SKUs this past holiday season? Where it did shake out? Will you be selling more towards the high end of the SKUs with the 50s? Or was there a good traction on the low end with the 23, so in a way to take share away from Google WiFi?
Patrick Lo: Well, we traditionally do not comment on individual product line for performance, but rest to say, we are very happy with all the new products we introduced and the Orbi 20 series is no exception. I think both products are sold in Best Buy and Costco. And if you walk into both stores and ask the sales associate, you will get a pretty good sense of how they stand.
Woo Jin Ho: And then to ask that question in different way, how did your ASP trend in your WiFi portfolio line?
Patrick Lo: We definitely believe that it would continue to trend upwards because, frankly, the unit growth is not going to be there because of the saturation of the market. And our growth over the last few years for Connected Home has been powered by ASP growth, and we don't think there is any exception this year.
Woo Jin Ho: Okay and a couple of more product-related questions. The number that keeps me pulling my hair is your Connected Home – your service provider revenue number, that was up sequentially and you guys keep talking it down every quarter and every Analyst Day, and I'm assuming that the 5G Hotspot sell-in. I mean how should we start thinking about the service providers, especially given that you have the 5G opportunity? Are you giving us a new outlook there? Or should we start continuing to moderate our expectations in that business?
Bryan Murray: Yes, I think as we said before, we expect that business, on average, to be at $35 million range. I think as it relates to 5G, I think, that's tail end of 2019 phenomenon as the network gets fully rolled out as newer devices come out. But at this point, we believe it's on average $35 million a quarter.
Woo Jin Ho: Okay. And lastly on the product front, I appreciate the Wi-Fi 6 router commentary. I'm hearing mixed things in terms of chip availability for Wi-Fi 6. Is the back half of the year or the seasonal strength in the back half of the year contingent on a Wi-Fi 6, upgrade cycle for you guys? Or is it still – is that more of a 2020 story?
Patrick Lo: No, we believe that this year is the year for Wi-Fi 6 upgrade. As you probably know, we probably have the best procurement team in the valley. We are never short of any chips. And last year, everybody complained about this capacity shortage, I mean, we never had that problem. So I don't think there is a restriction factor. And we've already announced three products and we'll announce more. And the whole thing is try to push ASP up. So for every possible purchase, this year of our WiFi device, we would like them to choose Wi-Fi 6 instead of 11ac. So if that happens then the ASP will go up significantly more than we planned but of course, that would be the best case scenario.
Woo Jin Ho: Understood, thank you.
Operator: Thank you. Our next question comes from Hamed Khorsand from BWS Financial. Please go ahead.
Hamed Khorsand: Hi, could you talk about accounts receivable balance this quarter and your DSOs? It seems like it has gone up even more than last year, and last year it seemed like it was higher than a year before. Are you giving more credit terms to your retailers? I mean what's driving this?
Bryan Murray: No it's really the same phenomenon. Our largest customer, we offer seasonal dating programs that extend normal payment terms by about 50 days. The other contributing factor is subscribers are a lesser portion of the business, which makes that seasonal impact on the non-carrier side even more impactful. And then there's a small adjustment relating to the new revenue standards that have kicked in and the beginning of the year that adds a few days to DSOs, but that was kind of – that is in line with what we expect to see in the fourth quarter.
Hamed Khorsand: And with the change up in the revenue line with service provider being somewhat smaller, does it change the seasonal events of the business is usually seen, meaning the Q2 is the lowest, are we going to still see Q2 dip down for other from a seasonal point?
Bryan Murray: You're right. As service provider becomes a lesser portion of the total business, the seasonal impacts of the non-service provider portion of CHP will be more noticeable. Q2 typically is a – the market is relatively flat. As you know, we're trying to outperform the market, and I think with the product lineup that Patrick touched on, I would hope that trend continues.
Hamed Khorsand: Okay. And then how much of an impact did these tariffs have from a business in Q1 that you're expecting? I know you guys were talking about you trying to mitigate and neutralize it, but how much is that input in your Q1 guidance?
Bryan Murray: There is no effect in the tariffs, impacting our profitability as we stated several months ago that we have taking a number of actions on the supply chain aside to get ahead of this and then anything that we aren't able to offset from a supply chain standpoint would be offset in the way of price increases.
Hamed Khorsand: Okay. Thank you.
Operator: Thank you. Our next question comes from Paul Silverstein from Cowen. Please go ahead.
Paul Silverstein: Thanks for taking my questions. I got a simple high-level question. You covered a lot of ground, but when you think about the one to three things you're most excited about over the course of 2019, and the one to three greatest risk for to the company from both the growth and profitability standpoint, what was those big?
Patrick Lo: Well, number one of course is new technologies there is no doubt about it. I mean, we believe that every time there's a technology inflection we've got to take share. So we're very excited about this Wi-Fi 6 and 5G. Now even though 5G is probably more like a end of the year story because there is not many 5G networks build out, yet. Wi-Fi 6 is right here, so we are very excited about it. We're going to go full force to utilize the technology inflection to gain share. Same thing on the SMB side, the technology inflexion on PoE+, we have gone from non-PoE to PoE to PoE+ and as a matter of fact, another technology called PoE++ is actually coming so we're very excited about. So that's number 1. And then number two, of course, the most exciting thing is the buildup of our recurring service revenue foundation. The fact that we already get 10 million registered users and 1% debt download is very exciting. I mean, the factor of matter is, we would love to get to 10 million app downloads as quickly as possible even if we can get the half of that by the end of this year that will be very thrilling. Because once our get our app, we have many ways to convert you to a paid service subscriber. And I think, converting 5% of them is not that hard a job to do. 10% maybe a little bit harder, but it's not unreachable, so the continual rise in the app download, I would say will be the second most exciting thing. And the third thing is to say is Meural, all right. Meural could turn out to be a significant bluebird. Now we haven't factored Meural into any of our top and bottom line growth of this year because we don't know how it's going to go. But if we could find new avenue of selling it, getting new more exciting content, I mean, who knows. So I think, that is very, very exciting for us. So those are the top one, two, three. And then you talked about what was the risk that we worry about. I mean, clearly the number one risk that we believe could be bad is that some of our competitors, actually most of our competitors I mean do not care about profitability because their business motto is not selling product. Their business motto is selling customers’ data and if anyone of them behave irrationally in the market that would be tough. So that is why all the more we need to move further and further to the high end of premium end of the market where we believe our customers really appreciate privacy. The faster we move towards that, the better. And all the things that we do like pro gaming, likewise Wi-Fi 6, 5G, Meural, all this towards that end. So we try to mitigate that as quickly as possible. Second, as you probably know, everybody knows, there's a lot of geopolitical issues around the world, who knows. This is completely out of our control. This could play significant havoc to the marketplace. And ranging from government shutdown, the Brexit to trade war, I mean, we can't control any of that, so I don't worry about it. Otherwise I can't sleep every night. All right and then the third thing that is as usual for any, any business is execution, all right. I mean we've got a ton of new products and technologies rolling in the market, but man, we've been in – having a pretty good track record. Every time we are on time, we are on schedule, every product's 4-star up, but if we slip in one of these big – main products in terms of schedule, in terms of product quality, in terms Technomic, and of course, I mean, that we can control. So for risk number one, two, three. I mean, one, we hope it doesn't happen, two, we hope it doesn't happen, number three, absolutely it is under our control and you see that is in my bull's eye all the time. So that's pretty much one, two, three, one, two, three.
Paul Silverstein: All right. If I may warrant some more questions. What is your typical visibility going into the quarter? And how far out does it extend?
Patrick Lo: I mean, if you look at – the essential for our business is visibility 90 days out, and for the non-service provider business, generally, on a normal scheme of things, we have good visibility 90 days out. But as I said, any of those bluebird things like geopolitical issues or irrational behavior of some of our competitors could happen at any time that would disrupt the visibility.
Paul Silverstein: Understood. So that said how would you characterize visibility today versus 90 days ago versus a year ago?
Patrick Lo: Pretty good.
Paul Silverstein: Better, worse or no change?
Patrick Lo: No, it is basically what we have stated in our guidance based on 90-day visibility.
Paul Silverstein: Got it. I’ll pass it on. Appreciate that. Thank you.
Patrick Lo: Sure. No problem.
Operator: Thank you. Our last question comes from Trip Chowdhry from Global Equities. Please go ahead.
Tripatinder Chowdhry: Thank you. A very good execution, considering the fact that in fourth quarter, the whole consumer electronics business for almost everyone collapsed. Patrick, I was wondering, how did you maneuver your Company and your products, considering the fact that the fourth quarter was extremely, extremely challenging? What things did you do? And the numbers you printed out fabulous.
Patrick Lo: Well, I mean we just continue to execute on products, on channel, on promotion, on pricing. I mean a pretty classic story of the three-piece, four-piece that you're going to execute 100% to your plan. And I think our channel partners really appreciate it. Our customers really appreciate it. And so we're very pleased with the team, and the team is awesome, I put it that way. I mean they have to do so many things in the quarter on top of cleaning up the tariff thingy and doing the spend, and executing the channel and the product program. I am really, really thankful and grateful to the team.
Tripatinder Chowdhry: Regarding the product Meural, it's a very experiential product like somebody really has to see it, experience it and then fall in love with it, like I saw it at CES show and other places also. I was wondering, wouldn't you think that the best way to sell Meural would be probably in the Costco on Best Buy person can at least initially see the product, experience it versus completely going online, any thoughts on that?
Patrick Lo: I think you hit right on the head. I mean a lot of our new exciting products like the Orbi Voice, like the Meural, and the Gaming router, you do have to experience it in order to appreciate it. So you're right, I mean physical presence, physical areas for people to experience it is definitely a must. I believe once you build a big enough following then the words of mouth would help to overcome that experiential referral. So – and that's why, we started last year setting up a beta store to have people to try to experience it. And I think we're getting a lot of interest from our partners in the channel to organize that kind of experiential presence and you see more of that this coming year.
Tripatinder Chowdhry: Excellent, very good execution and extremely difficult environment.
Patrick Lo: Thank you.
Operator: Thank you. This concludes the Q&A session. At this time, I'd like to turn the call over to management for closing remarks.
Patrick Lo: Well, thank you, everybody for joining today's call. I mean once again, we're very pleased with the Q4, both in our products, in channel as well as our financials. And we're excited about the opportunities that I just described, the top three opportunities that we have in the coming year. And I look forward to updating you all again on those metrics in the next earnings call, and so we're very excited. I mean this is Chinese New Year time and having a good time. Thank you.
Operator: Thank you. Ladies and gentlemen for attending today's conference. This concludes the program. You may all disconnect. Good day.